Operator: Good day, ladies and gentlemen and welcome to the Park Lawn Corporation Third Quarter 2021 Earnings Call. At this time, all participants have been placed on a listen-only mode and the floor will be open for questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Jennifer Hay, General Counsel at Park Lawn. Jennifer, the floor is yours.
Jennifer Hay: Thank you, Paul. Good morning, everybody. We would like to thank you for joining us today. Today’s call is being recorded and a replay will be available after the call. Please be aware that certain information discussed today is forward-looking in nature. Any such information is subject to risks, uncertainties and assumptions that could cause actual results to differ materially. Please see our public filings for more information regarding forward-looking statements. During the call, we will reference non-IFRS financial measures. Although we believe these measures provide useful supplemental information about our financial performance, they are not recognized measures and do not have standardized meanings under IFRS. Please see our public filings for additional information regarding our non-IFRS financial measures, including for reconciliations to the nearest IFRS measures. I will now hand the call over to Park Lawn CEO, Brad Green, to open our discussion today.
Brad Green: Thank you, Jennifer and good morning everyone. In addition to Jennifer, with me on the call today is our CFO, Dan Millett. I am also pleased to let everyone know that this is the first time that all the PLC participants are actually in the same room for an earnings call since I’ve taken over the CEO responsibilities, which as you know, was at the beginning of the pandemic. The difficulty in crossing the border certainly created a challenge for us. So, while it’s just an anecdotal example, it does underscore that a lot of us are getting back to some form of pre-pandemic norms. Park Lawn again experienced significant revenue growth in the third quarter. Revenue grew approximately 15% over Q3 2020 to $92 million despite significant foreign exchange headwinds year-over-year. Revenue growth from comparable businesses was approximately 8%, excluding the aforementioned foreign exchange headwind and Park Lawn achieved adjusted EBITDA of $23.5 million at an approximate 25.6% margin. The third quarter exceeded our expectations, especially given the continued decline of COVID-19 deaths served by our businesses. We saw a modest increase in the call volume and comparable businesses compared to Q3 2020. And consistent with the first half of this year, we did continue to see average revenue per call increase approximately 14% year-over-year. From the cemetery perspective, at-need sales remained a driver of growth and the pandemic continues to act as a trigger event supporting strong pre-need sales activity. Since our last earnings call, we have closed on the Williamson businesses in the Middle Tennessee market, which consists of two onsite. Subsequent to the quarter, we also closed on the Malcolm Funeral Home in Ontario. And most recently, we closed on the Pugh businesses in Central North Carolina, which consists of five funeral homes and one cemetery. Finally, we expect to close on the Smith businesses in Eastern Tennessee early next week, which consist of one funeral home, one onsite and several event centers. When complete, we will have deployed over $100 million on acquisitions for 2021 and the year is not over yet. But before I talk about what we expect looking forward, I’d now like to turn the call over to Dan, who will review our Q3 financial results in more detail.
Dan Millett: Thanks Brad and good morning, everyone. You will find a detailed breakdown of our third quarter results in our financial statements and MD&A, which are available on our website and on SEDAR. My comments this morning will focus on the third quarter operating results. As Brad mentioned, we saw modest increase in call volumes from comparable operations relative to Q3 2020, but saw more significant increases in average revenue per call and cemetery sales. Together with our strategic and premier acquisitions, we achieved total revenue growth of approximately 15% year-over-year. Revenue grew from $80.3 million in Q3 2022 to $92 million in Q3 2021, all experiencing a 5% foreign exchange headwind due to the appreciation of the Canadian dollar. Currently, approximately 90% of our revenue is generated from our U.S. businesses. And this headwind can have a meaningful impact on our results. Ignoring the impact of foreign exchange, our total revenue increased approximately 20% and revenue from comparable operations grew approximately 8%. Also during the quarter, the company’s operating expenses, including general and administrative, advertising and selling and maintenance expenses increased by approximately $4.6 million for the 3-month period ended September 30, 2021 over the same period in 2020. This increase is primarily the result of acquired operations partially offset by the impact of foreign exchange. Other increases in costs were a result of the pandemic having minimal impact on operations with increases resulting from travel and increases in labor and maintenance costs related to more traditional operations. As a result of another quarter of exceptional sales and a commitment to operations, our net earnings attributable to PLC shareholders for Q3 2021 was approximately $9.1 million or $0.29 per share compared to $5.4 million or $0.18 per share for Q3 2020. Furthermore, the adjusted net earnings attributable to PLC shareholders for the third quarter of this year, was approximately $12.1 million or $0.38 per share compared to $7.8 million or $0.26 per share in Q3 2020. This represents an increase of approximately 48% in adjusted earnings per share for Park Lawn’s shareholders. Our adjusted EBITDA attributable to PLC shareholders for the current quarter was approximately $23.5 million or $0.75 per share compared to $19.1 million or $0.64 per share for the same period in 2020. This represents an increase in adjusted EBITDA of approximately 23% over the same period in 2020. On the other side of the coin, during the quarter, we replenished our balance sheet, completing a $148 million equity offering and restructured our credit facility, adding availability of $50 million, extending the term and decreasing our interest rate, making the added borrowing cost neutral. We ended the third quarter with approximately $86 million drawn on our revolving credit facility, other debt of approximately $15 million, finance leases of approximately $6 million, and cash on hand of approximately $53 million. Excluding our debentures, our net debt was approximately $55.7 million at September 30, 2021. Subsequent to quarter end, additional cash was used to further pay-down the credit facility and complete the acquisitions of the two businesses previously announced. At the end of September, our leverage ratio was 0.54x based on the terms of our credit facility and approximately 1.34x, including our outstanding debentures. We expect the leverage ratio to gradually increase over the upcoming quarters as we continue to utilize our healthy balance sheet in the acquisition of various M&A opportunities that are in the pipeline. Including the upcoming anticipated acquisition of the Smith businesses, we estimate our current liquidity is approximately $228 million, which is readily available to be deployed in ongoing and future growth initiatives. I will now turn the call back to Brad for some closing comments regarding what you can expect as we conclude 2021 and beyond.
Brad Green: Thanks, Dan. Our expectations as we close out 2021 remained largely unchanged from what we have said during each of our calls this year. Given the at-need volumes experienced throughout the second half of 2020 and into Q1 2021, we still expect tougher financial comparatives through Q1 2022, but we continue to believe that as we move forward, COVID-19 will become endemic and will ultimately have a less relevant impact on our operations, which is a positive both to our businesses and our communities. However, as we said in the past, we still expect to see continued financial growth driven primarily through acquisitions, pre-need sales, market share growth, and continued improvements in our operating performance. I am going to wrap up today with a few words about our employees. And this is not for them as we do not encourage or expect them to listen to these calls. Rather, this is the underscore for our investors. One of the reasons we are able to continue adding high-quality acquisitions to our company. As I said in the beginning of the pandemic, our team members were receiving well-deserved recognition from both the inside and outside of PLC for their unwavering commitment to our profession, their jobs and the families we serve and they deserve every bit of those comments and more. But I also said at the time that I absolutely expected it from them. This is what they do all day everyday. Pandemics, tornadoes, super storms, floods, hurricanes, they just go to work. They did not become a essential during the pandemic. They were essential before the pandemic and they will be essential when the pandemic subsides, I said all this before. But most importantly, they know that every one of us believe this is about – excuse me, but most importantly, they know that every one of us believe this is about them everyday. And it is one of our core values at the company. We get it, which is why our team members are loyal to this company and why owners consistently want to join this company. As we have repeatedly stated, we are not a consolidator, but an operator of funeral homes and cemetery businesses that grows through acquisitions. It is this vision, which is shared by our entire team that makes us different, makes us successful. And it’s fundamental to our continued performance in a high-touch profession such as death care. That concludes our prepared remarks. And I will now turn it over to Paul for any questions.
Operator: Thank you. [Operator Instructions] The first question is coming from Scott Fromson from CIBC. Scott, your line is live.
Scott Fromson: Thank you and good morning, gentlemen.
Brad Green: Good morning, Scott.
Scott Fromson: A question on pre-need cemetery sales, what are you seeing in terms of activity levels and sales? There is a bit of change in the conversion timing? And maybe another way to say it is, do you think the pre-pandemic pre-need pull forward is waiting?
Brad Green: So what we are seeing is similar to what we’ve spoken about in previous quarters. In that, there is still significant growth, I believe it’s 15% year-over-year in pre-need cemetery sales. And we still believe that that is related, if not exclusively, at least in a big way to the trigger effect of the pandemic. We also see people in their pre-need following what we are seeing in averages meaning our pre-need sales are also increasing on the contracts. And that tells us some very good things about what we can expect in the future. I think that was what your question was going to be about a second part in there that I didn’t catch.
Scott Fromson: Well, I was just wondering if the pull-forward, the pandemic highlighting the need for pre-need planning, if that pipeline is sort of drawing down?
Brad Green: So, I don’t think so, but that’s my opinion. And let me backup and support that a little bit. There are lot of people that are talking about a pull-forward effect in our industry and quite frankly, people outside of our industry. What has been consistent about COVID-19 in the pandemic is everyone with an opinion has appeared to be wrong more often than not. So, I can’t speak to whether or not there is even a pull-forward effect that existed, I can just say, in my opinion, there was a tremendous amount of the U.S. and Canadian population that was not considering pre-need or getting pre-need to die. When you have a pandemic that was global like it was and that was it’s been on the forefront of everyone’s mind for now 2 years, there is a significant amount of the population that one could surmise is coming into the pre-need. That doesn’t necessarily mean they were going to do it before the pandemic which would what would need to be required to have a pull-forward effect. So, one could simply make the argument that more people are considering pre-need, because of the trigger effect. And that’s where we are seeing the growth. We will know the answer to that question in a year or two, but it’s my opinion that at least as far as the pre-need is concerned, this is not necessarily a pull-forward effect, but a triggering event. Does that make sense?
Scott Fromson: Yes, that makes sense. The pandemic has made everything pretty real.
Brad Green: Right. I mean there is no better way to say that. And you can see it. I mean, we are out in the field every week as an executive team and you can just see it. It’s made it a lot more real than it even was in the past.
Scott Fromson: Yes. And I think the industry has really demonstrated its value in tough times. So I will leave it there and turn it over for others. Thank you.
Brad Green: Thanks, Scott.
Operator: Thank you. And the next question is coming from George Doumet from Scotiabank. Your line is live, George.
George Doumet: Yes. Thanks. Good morning guys. Congrats on the quarter. Brad…
Brad Green: Good morning, George.
George Doumet: Yes. Good morning. I might have missed that number, but if you say the average revenue per call increased 40% in the quarter.
Brad Green: That’s correct.
George Doumet: Big number. And then I guess this is a more difficult question to answer, but I mean if you look to 2022, will you expect to keep revenues per call kind of growing even though it’s just a little bit, I mean, just wondering if that cadence can continue to expand, I guess it will grow next year given it’s such a high number?
Brad Green: Yes, I think so. But as I said last quarter, to a question that was similar to this, George, I just want to be clear, so I don’t mislead you guys. We do believe that you will see the average increase, because that’s what we work to do, right. That’s part of what improving our operational performance means. And when we say that and also as we continue to add such high quality businesses to our company, one would hope that the average would continue to increase. I do not expect however and nor should anyone else, expect 14% year-over-year increases going into 2022, that would be certainly surprising guys, but we do expect it to continue to increase.
George Doumet: Okay, that’s good news. And one of your larger public comps recently called out mild wage and supply chain pressures, it seems for the most part, we have not many labor issues. So, I am just wondering if that’s – if we are starting to experience that maybe in a more meaningful way at all?
Brad Green: We are not experiencing that in a more meaningful way. But it doesn’t mean that it’s not there, we see it and we read the same articles and follow the same companies that you do on a daily basis. I would just say that the majority of our vendors are what would be a supply chain issue or long-term contracts. And one of the largest one of those, for example would be caskets. And those contracts are multi-year. And when they have annual price increases, normally, we pass those directly on to the consumers. So, most of our vendor relationships and supply chain things that you read about we are just really not experiencing that yet. I mean we do have to buy gas like everyone else does and things of that nature. But our managers, their job is to manage costs to revenue and their businesses. And we would expect them to handle that as that would hopefully be a short-term issue. Regarding the pressure on the labor costs, we are not really seeing that in most of the places that we have businesses, except for what I would consider some of the more transitory positions that we have in the company, like cemetery workers are in high demand in lots of different places. Sales people, things of that nature, we are seeing a little bit of pressure there, but nothing like – broadly, nothing like I read about is happening in other industries.
George Doumet: Okay, that’s great. And just one offline if I may, Brad. Congrats on the Pugh and Smith acquisitions. Can you talk a little bit about those acquisitions what you like? And I believe you called North Carolina and Tennessee strategic markets, so just wondering how they could get there?
Brad Green: Well, these are two – I will talk about them, obviously, separately. The Pugh business we are in North Carolina. We have a lot of businesses in North Carolina, but we weren’t in that market. That is a multigenerational business with a very, very stellar reputation. We were not the only one looking at that business. It’s rare these days that we are in a competitive situation. But we actually won that business. And I would – it might be considered bragging to say it, but we want it by paying less money than I think other people would have paid for it. So, we are really happy to have that business join us. The Smith businesses, the same way, that’s I mean obviously, we are not in that that part of Tennessee. I happen to be sitting in Nashville right now, that’s 4.5 hours east of here. But that is a fantastic business, again, multigenerational. The owners are staying on with us on a go forward basis. And again, I am proud to say that there are a lot of companies that had looked at and called on that business for years. And when it came time to sell they only talked that it wasn’t a competitive situation. So, you asked for color on the two acquisitions, that’s the two things I would say, but we are talking about very reputable businesses, with owners, with great reputations and all management staying in place and continuing to work for us on a go forward basis.
George Doumet: Okay. Great. Thanks for the answers. Good luck.
Operator: Thank you. And the next question is coming from Irene Nattel from RBC Capital Markets. Irene, your line is live.
Irene Nattel: Thanks and good morning, gentlemen. A couple of follow-up questions if I may. So, just following on Smith and Pugh, to the extent that they are very successful businesses, would you still expect to get the post acquisition lift? Are there opportunities in both Pugh and Smith and some of the others to perhaps realize a little bit more in the way of post acquisition left?
Brad Green: We would – good morning, by the way Irene. We would definitely expect to see post acquisition lift in those businesses, that’s not to say that they aren’t well run businesses when we buy them. But we had a vast amount of experience to draw on across the company, with people that have been doing it for a long time. So, what it effectively does is it adds – it adds a different perspective for them to look at. So, there are some consolidators that would come in day one, they would put their processes in place, they would do what they think needs to be done, and they would change things to their formula. We come in day one and we learn what they do. And we sit and watch. And over time, when we realize that these changes can be made from an operational standpoint that would improve the business, we do that. And what I would term a much more gentle and methodic approach. Irene, we have not seen a business that we have purchased. We will just go back into say since 2019, since we have joined the company, or 2018, since we joined the company. We have not purchased a business where we did not see anywhere from really good dramatic improvements after we purchased them. And another thing that we can lean heavily on is our cemetery sales structure. So, anytime you see us buying a cemetery, we have got some strong people and a strong approach to our cemetery sales. And so just by merely having him come in and provide additional ideas, these acquisitions go from being very good, but on an island amongst themselves. They are part of a really, really good team. So, we see that every time.
Irene Nattel: That’s really interesting. Thank you. And then just going back to sort of the comparable operations, you have been in this business for a very long time, how close do you think we are two sort of a “normal run rate” in terms of both call volume and revenue per call?
Dan Millett: That’s tough to answer. I mean I get it and I know why you are asking it. But we still believe that there are improvements to be made in our legacy – in some of the legacy businesses. Now some of them, we are definitely getting close to doing what we can do with them. But we still believe that there is incremental improvement out there. And you can always do something better. As these I know you asked about comparable, but the acquisitions become comparable after a year. And as we continue to add these businesses that are such higher quality than what may have been added in the past, you are going to – you should see that number continue to go up. Irene, there is no way for us to know and I can’t give you a percentage on that. I think after a year post-pandemic operation, you can ask me that question regarding some of the comparable businesses and some of the historical ones. And we will be able to put a finer point on that. It’s just we don’t know what we don’t know yet coming out of this pandemic.
Irene Nattel: Fair enough. And then just one final one, if I may, and that’s obviously my favorite, the M&A question, understanding that it’s a queue not a pipeline. And if I remember the language, but just wondering what sort of how long that queue is, and how big some of the opportunities are in that queue?
Brad Green: So, we have as much – we have as many opportunities for acquisitions as we would ever need, relative to the amount of capital that we have access to. And as I have said in the past, what limits our ability to purchase these businesses is that we insist on operating them appropriately and professionally from day one. So, the businesses – our ability to buy them is literally going to be guided by our ability to integrate them and operate them, because that’s why people are coming to us. And I can’t make that point, greater. So, as long as we continue to focus on operations and running this company, the way these strong independents would run it themselves, we will continue to have people coming in and wanting to sell their businesses to us. And I can make the point right now, how focused are we on operations, well, our six independent Board members are also in Nashville, and they have spent 14 hours yesterday in a van with us driving a couple of hundred miles going to multiple locations to see what we do, right. That’s how focused we are on that. As long as we continue to do that, our acquisition pipeline will be sufficient to continue to grow this company, at that cliff that we have mentioned that we plan to grow it in the past, which is deploying $100 million plus a year. And we just did that in a year where other large consolidators were saying that there weren’t people selling their businesses or there weren’t businesses out there to sell or to buy, excuse me.
Irene Nattel: That’s great. Thanks Brad.
Operator: Thank you. [Operator Instructions] And the next question is coming from Maggie MacDougall from Stifel. Maggie, your line is live.
Maggie MacDougall: Thank you. Good morning.
Brad Green: Good morning Maggie.
Maggie MacDougall: I wanted to talk a little bit about pre-need. And I am wondering if you can give us some greater depth of insight in terms of pre-need property versus pre-need funeral, because when I look at your balance sheet, it’s clear that you are seeing a good amount of growth in the pre-need bookings that are in trust. However, I am also curious to think about this from the perspective of what has been acquired versus the organic growth of that business? Thanks.
Brad Green: Sure. On the pre-need cemetery, I think I mentioned that earlier. We are up about 15% year-over-year. On the pre-need funeral, we are up about a little over 30% year-over-year, which is a significant number. So, just to put that in perspective, at the end of Q3, we had about $496 million in prearranged funeral insurance. That’s – I think that’s some of the things you are looking at would be a significant increase if you are watching those numbers. And our care and maintenance trust funds are now up to about $276 million and our pre-needs merchandise and service trust funds, about $308 million. So, I mean you are definitely seeing some year-over-year increases. Now, some of that is coming from acquisitions. Maggie, there is no doubt about that, because we haven’t broken that out. And I don’t have that number for you versus same-store and with the acquisitions in it. But Dan may have, if he doesn’t have it at the fingertips, he can get it to you.
Dan Millett: Yes, I don’t have the funeral stuff, Maggie. But on a pre-need property standpoint, from a comparable operations basis, we are seeing about 80% growth there. So, just kind of what we have talked about quarter-after-quarter is the pandemic being a trigger event and continue to see growth on the pre-need side, whether it’s coming from our acquisitions or coming from our same-store, it’s something people are thinking about.
Maggie MacDougall: Okay, great. And then on your revenue per call stat 14%, that’s on a year-over-year basis, I believe. Does that actually include any price appreciation in terms of your property sales, or is that simply a funeral service metric?
Dan Millett: Yes. Maggie that’s when we talk about average per call, we are just talking funeral sales. The average at the cemetery gets a little muddy, because there is a lot of – you are recognizing property. And you are recognizing at-need merchandise and service and your denominators and number of interments, it’s not a great metric, we don’t look at it a whole lot. The average per call is kind of what we are focused on.
Maggie MacDougall: Okay. And then just one final question, with the acquisitions you have layered in over the last year and growth in the business organically in a lot of different jurisdictions. I am wondering how we should be thinking about maintenance capital expenditures going forward. I have noted that they have grown considerably, just in the past, if you look at a trailing 9 months basis year-over-year, so any help you can give us for modeling there could be appreciated. Thanks.
Brad Green: Yes. So, what we kind of saw this year is a little bit of a pick up from 2020. In 2020, with the pandemic, we were able to – we have managed our capital a little bit more in terms of maintenance and repairs, as opposed to replacements. This year, we have seen a bunch of roadwork, a bunch of roofs, some equipment being replaced. And that’s really kind of making up for what we have pulled back in the pandemic. And we are able to manage through like I have said, repairs and maintenance. So, I would expect that to come down a little bit looking forward. But the other big piece is kind of our capital projects. We have got the Internal Sunset, which continues to grow and we continue to put money into that cemetery in the Northeast. The Westminster project, we are expecting to be completed in January of 2022. And that was a massive project. So, that’s a lot of capital that will be coming back to us. And we just broke ground on our Waco funeral home are on-site. So, that will be nowhere near the capital requirement that the Westminster is seeing, but that will come on and we will have more projects like the Waco funeral home next year.
Maggie MacDougall: Okay. Thanks very much, guys.
Brad Green: Thanks, Maggie.
Operator: Thank you. And the next question is coming from Zachary Evershed from National Bank Financial. Zachary, your line is live.
Zachary Evershed: Thank you. Good morning, everyone.
Brad Green: Good morning Zachary.
Zachary Evershed: So, most of my questions have been answered. But just one last one on the 14% increase in revenue per call in the quarter, was some of that driven by passing through cost increases, or was that almost entirely easing in pandemic restrictions?
Brad Green: It’s almost entirely the easing of the pandemic restrictions. I wouldn’t actually put cost increases in that very – sorry, price increases in that very much at all. The pricing, we do it a little differently. Shockingly, for most of the consolidators the pricing is done at a local level, with the local management dealing with the VPs of Ops in their region. So, we don’t have some kind of global pricing policy that we come out with and say okay, everyone needs to do X. So, that’s – your answer would be there. That would be the reason why the answer is what it is, because there would be no like pricing that came in at any particular point in time, it would pop anything else.
Zachary Evershed: That’s helpful. Thanks. I will turn it over.
Brad Green: Thank you.
Operator: Thank you. And there were no other questions in the queue at this time. I would like to hand the call back to the Park Lawn management team for any closing remarks.
Brad Green: I would just like to thank you, everyone, for joining us today and have a great weekend.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s conference. You may disconnect at this time and have a wonderful day. Thank you for your participation.